Operator: Good day, everyone, and welcome to the NewMarket Corporation conference call and webcast to review second quarter 2025 financial results. [Operator Instructions]. It is now my pleasure to turn the floor over to your host, Tim Fitzgerald. Sir, the floor is yours.
Timothy K. Fitzgerald: Thank you, Matt, and thanks to everyone for joining me this afternoon. As a reminder, some of the statements made during this conference call may be forward-looking. Relevant factors that could cause actual results to differ materially from those forward- looking statements are contained in our earnings release and in our SEC filings, including our most recent Form 10-K. During this call, we will also discuss the non-GAAP financial measures included in our earnings release. The earnings release, which can be found on our website, includes a reconciliation of non-GAAP financial measures to the comparable GAAP financial measures. We filed our 10-Q for the second quarter of 2025 earlier today, and it contains significantly more details on the operations and performance of our company. Today, I will be referring to the data that was included in last night's press release. Net income for the second quarter of 2025 was $111 million or $11.84 per share compared to net income of $112 million or $11.63 per share for the second quarter of 2024. Net income for the first half of 2025 was a record $237 million or $25.11 per share compared to net income of $219 million or $22.87 per share for the first half of 2024. Petroleum additives sales for the second quarter of 2025 were $654 million compared to $670 million for the same period in 2024. Petroleum additives operating profit for the second quarter of 2025 was $140 million compared to $148 million for the second quarter of 2024. The decrease in operating profit compared to prior year was mainly due to a 2.5% decline in shipments, along with an increase in research and development investments to support our customers' needs. For the first half of 2025, sales for the petroleum additives segment were $1.3 billion, essentially flat compared to the same period in 2024. Petroleum additives operating profit for the first half of 2025 was $282 million compared to $299 million for 2024. The drivers for the decrease in operating profit were consistent with those affecting the second quarter comparison. Shipments were down by 4.9% when comparing the first half of 2025 with the same period in 2024. We are very pleased with the performance of our petroleum additives business during the first half of 2025. Our team's focus on enhancing efficiency has resulted in strong operating profit margins this year. However, we remain challenged by the ongoing inflationary environment and the impact of tariffs despite our efforts to improve efficiency and manage our operating costs. We continue to focus on investing in technology to meet customer needs, optimizing our inventory levels and improving our portfolio profitability. We report the financial results of our AMPAC business in our Specialty Materials segment. Specialty Materials sales for the second quarter of 2025 were $42 million compared to $38 million for the same period in 2024. Specialty Materials operating profit for the second quarter of 2025 was $11 million compared to $5 million for the second quarter of 2024. The increase in operating profit was mainly due to an increase in volume within the quarter. As previously stated, we will see substantial variation in quarterly results for the Specialty Materials segment on an ongoing basis due to the nature of the business. For the first half of 2025, sales for the Specialty Materials segment were $96 million compared to $55 million for the same period in 2024. Specialty Materials operating profit for the first half of 2025 was $34 million compared to slightly above breakeven for the first half of 2024. We view AMPAC as a strategic national asset with a mission-critical role in global safety, security and space programs. As we announced in April of this year, we are committed to investing in additional capacity at AMPAC to meet our customers' growing needs, while adding additional redundancy and security of supply into our production system. Our company generated solid cash flows throughout the first half of 2025, which allowed us to return $129 million to our shareholders through share repurchases of $77 million and dividends of $52 million. The share repurchases includes $20 million that was completed in the second quarter of 2025. As of June 30, 2025, our net debt-to-EBITDA ratio is 1.0, which is an improvement over the 1.2x we reported at the end of 2024. As we look ahead to the second half of 2025 and beyond, we anticipate continued strength in our petroleum additives and Specialty Materials segments. We are committed to making decisions that promote long-term value for our shareholders and customers while staying focused on our long-term objectives. We believe that the core principles guiding our business, a long-term perspective, a safety-first culture, customer-focused solutions, technology-driven products and a world-class supply chain will continue to benefit all of our stakeholders. Matt, that concludes our planned comments. We are available for questions via e-mail or by phone. So please feel free to contact me directly. Thank you all again, and we will talk to you next quarter.
Operator: Thank you. Everyone, this concludes today's event. You may disconnect at this time, and have a wonderful day. Thank you for your participation.